Operator: Good day, and welcome to the Mayville Engineering Company First Quarter 2021 Earnings conference call. [Operator Instructions] I would now like to turn the conference over to Nathan Elwell, Investor Relations. Please go ahead. 
Nathan Elwell;Lincoln Churchill Advisors;Co-Founder: Thank you. Welcome, everyone. Thank you for joining us on today's call. A few quick items before we begin. First, please note that some of the information that you will hear during this call will consist of forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended.
 Such statements express our expectations, anticipations, beliefs, estimates, intentions, plans and forecasts. Because these forward-looking statements involve risks, assumptions and uncertainties, our actual results could differ materially from those in the forward-looking statements. For more information regarding such risks and uncertainties, please see our filings with the Securities and Exchange Commission, including our filing on Form 10-K for the period ended December 31, 2020.
 We assume no obligation and do not intend to update any such forward forward-looking statements, except as required by federal securities laws. Second, this call will involve a discussion of certain non-GAAP financial measures. Reconciliation of these measures to the closest GAAP financial measure is included in the earnings press release, which is available@mecinc.com.
 Joining me on the call today is Bob Kamphuis, Chairman, President and Chief Executive Officer, Todd Butz, Chief Financial Officer and Ryan Raber, EVP of Strategy, Sales and Marketing. First, Bob will provide an overview of our performance, then Todd will review our financial results and guidance. With that, I'll turn the call over to Bob. Please go ahead. 
Robert Kamphuis: Thank you, Nathan. Good morning, everyone. With the first quarter now complete, I'm pleased to report that we sustained our positive momentum from the second half of last year into 2021. When you compare where we are now compared to a year ago, the difference is amazing. We're proud of the resolve and commitment and determination that everybody in our organization has displayed during these trying times. Of course, the health and safety of our workforce remains our top priority, and we remain committed to the highest level of safety for our employees.
 Let's talk about the financials. We delivered strong financial results during the first quarter, generating net sales of $112.6 million, adjusted EBITDA of $13 million and operating income of $4.1 million. We improved on both the top and bottom line compared to last year when the pandemic started to impact us in mid-March 2020, and our team began encountering some exceptional challenges.
 Our improved top line performance is primarily a result of our end markets being in a stronger position than they were at this time last year. Our volumes continue to improve after the strong third quarter 2020 recovery and are gradually moving back towards the record levels we saw in 2019. We are optimistic that they will continue to move in the right direction.
 Our bottom line improvements are a testament to the hard work to optimize our cost structure over the past year. At an 11.6% adjusted EBITDA margin for the quarter, we saw improvement both on a year-over-year basis and on a sequential basis. And as volumes continue to improve, we expect to make progress towards our expected goal of a 15% adjusted EBITDA.
 In addition to the benefits from our investments in process improvement, automation and technology, we are seeing the cost benefits associated with the closure of our Greenwood South Carolina facility last year. As a reminder, we maintained all of our company-wide production capacity despite this closure by moving key equipment to other existing rough lines.
 As we continue to mature as a public company, we are additionally seeing process improvements and related reductions in some of the SG&A costs compared to past years that are also helping to improve our profitability. To put it simply, our current business is in a strong position and will continue to generate significant cash flow. As we progress into the rest of 2021 and beyond, we will continue to invest in process improvements, technology and automation to allow additional growth with lower than historic hiring requirements.
 Now I'd like to outline our current thinking on the end markets we serve, which are in a similar position to the fourth quarter earnings call in early March. The commercial vehicle market is in a much healthier position today compared to a year ago. Class 8 truck orders throughout North America remain robust, matching the order flow that our team saw through the quarter. Given that freight demand continues to be strong, we believe that the market will remain positive in the near term.
 Power sports continues to be a bright spot for our business as the demand for outdoor recreation oriented products remains very strong. We anticipate that retail demand will continue to be strong, and our customers will continue to rebuild their dealer inventories in the coming quarters to meet that demand.
 The construction and access end markets continue to show signs of improvement in residential construction, particularly for equipment that is tied to housing and equipment rental. While nonresidential and oil and gas markets have been rather unpredictable recently, we think these areas have stabilized and are starting to show signs of improvement between the potential infrastructure bill, combined with the start of dealer restocking and improving oil prices, we think these markets could start to improve over the coming quarters.
 Improving crop prices, coupled with relatively low crop inventories, lead us to be optimistic regarding the ag market, and we anticipate that this area will continue to see stable to improving volumes in the near to midterm.
 Concluding with our military segment, this market continues to be a stable market for us with our customers, having a solid backlog for U.S. government contracts. Additionally, we are also seeing the potential for increased revenues due to international vehicle sales by these customers.
 Throughout all of our end markets, we have maintained great partnerships with our customers during the difficult period over the last 12 months, which speaks to the quality of the work we produce and the trust we have built with our customers, in some cases, over many years.
 It was encouraging -- an encouraging start to 2021, but we are still navigating our way through this pandemic and some headwinds remain. So far this year, we have observed supply chain disruptions at our customers and some, although fairly modest for ourselves.
 Of course, raw material and component shortages and cost increases in everything from steel and lumber to computer chips is not unique to MEC or our industry. These challenges are pervasive in the global economy today, and we are doing everything we can to mitigate the impact and adjust customer pricing accordingly.
 While these instances have been manageable for our team, we are constantly monitoring the supply chain to make sure that we are the best equipped to deal with future challenges. For example, during the first quarter, we did see higher steel prices, which we are able to recover, but still have a short-term negative impact due to the timing in some customer contracts.
 While this was largely offset by higher scrap prices, there was a modest negative impact on the first quarter's profitability, and we expect to see similar issues in the coming quarter while costs continue to rise and until costs stabilize. We also expect some of our customers could see supply chain disruptions caused by others that will have an effect on our volumes, but we believe most of the issues will be manageable and temporary in nature.
 In addition, we continue to be impacted by a challenging labor market. As it stands today, the pool of readily available and skilled workers is relatively shallow; an issue that has become more pronounced as stimulus checks have been issued and schools remain somewhat closed. We are actively working through this challenge with recruiting strategies and HR initiatives as we anticipate that this headwind will continue to linger throughout the rest of the year.
 As I mentioned earlier, we are reducing our recruiting needs by investing in process improvements and flexible redeployable technology and automation. Despite these obstacles, I'm very confident in our team's ability to effectively navigate this dynamic economic climate, especially given all that we've proven as an organization over the past year.
 That brings us to the future and the strides that we have made to position the company for growth. As you probably saw last month, we announced an important new strategic relationship with a leading U.S.-based fitness company, where we signed a long-term agreement to produce key components for their equipment. We were chosen as their manufacturing partner due to our market leadership, broad capabilities and reputation for delivering the best quality, reliability and engineering expertise. The company was looking to further augment its U.S.-based production capabilities and particularly appreciated our unique capabilities and unmatched dependability.
 So 2021 is going to be an investment year for this new business. In addition to our base business CapEx plan, we will be investing between $35 million and $45 million, primarily focused on automation and technology. We expect to qualify equipment and processes throughout the remainder of 2021, with production scheduled to start in early 2022. While there will not be a revenue impact in 2021 based on current plans, this customer is expected to become a top ten customer in 2022. This is clearly an important new customer and new market for MEC and a perfect example of the market diversification that we have highlighted as a long-term priority for our business.
 This type of product localization for the U.S. market is something we believe will be a growing trend for both current and potential customers. This venture leverages our existing manufacturing expertise into new products using our core skills, such as cutting, forming, welding and painting. Based on our customers' preferences, we aren't in a position to provide any more detail about this engagement, including their name, but we look forward to working with a new partner in forging a strong relationship in the years ahead.
 In relation to this new partnership, we just announced yesterday that we are planning to open a new facility in Michigan to focus on this new customer relationship, preserving our capacities in our base business for our existing customers. The facility will be outfitted with state-of-the-art equipment and will be located in the Greater Detroit area, making it ideal for recruiting the appropriate workforce.
 We are in the process of selecting the right facility, which will have an approximate 250,000 square feet of manufacturing space. Once up and running, we envision having approximately 300 employees working full-time at this facility. We are thankful to the state of Michigan for providing $2.5 million in financial incentives to bring this project to their area. We're pleased to be expanding our operations in the state of Michigan and to bring new job opportunities to this community.
 In addition to this major development, we are constantly building relationships and looking for opportunities to expand both our customer base and the sectors we serve. Today, we see opportunities for new projects and takeover business. For instance, during the first quarter, we continued to expand our market share for one of our important commercial vehicle customers. We are in the process of ramping up to meet the needs of their new model introduction and continue to be awarded new parts through our collaborative developmental efforts as they expand the offerings of their new trucks. We have also been able to expand our market share of next-generation tactical wheeled vehicles that we'll be launching over the course of the next couple of years. In addition to future programs, we are seeing strong activity on current programs and expect further market expansion, market share expansion, over the coming quarters.
 We continue to be very active in the power sports market, both on new programs with current customers and on programs with potential customers, which we expect to add to our customer list in the coming quarters. Over the course of the past year, we have also expanded our relationship with a fairly new customer in the material handling market. And over the last quarter, we have added new components and are excited to see this relationship continue to grow as e-commerce expands.
 Overall, the new business pipeline remains robust with numerous projects being actively pursued. We are very excited about all of these new avenues of growth, and we'll keep you updated on the latest developments over the coming quarters.
 In addition, we were pleased to be recognized by one of our top customers, PACCAR, with 2 major honors recently. First, the 2021 Supplier Performance Management Award, which evaluated our performance in the areas of product development, operations and aftermarket support and alignment with PACCAR's key business objectives as well as recognizing our collaboration and continuous improvement efforts with PACCAR.
 Second, we also received the 2020 10 PPM quality award, where we were recognized for meeting PACCAR's 10 parts per million quality standard. We take pride in the fact that our supply performance helps produce best-in-class trucks, and we value the long-term strategic partnership that we have built with such an important brand as PACCAR.
 Moving on to capital allocation. We have had a strong balance sheet for quite some time. And over the past year, we have done a great job of reducing our debt load even further in creating an even stronger balance sheet. We have the flexibility to not only make the appropriate investments in projects that help improve efficiency and drive internal growth but to also consider other investment opportunities.
 Of course, we maintain a close eye on the broader landscape for potential M&A opportunities. In recent months, the deal pipeline has significantly improved and has rebounded from the pandemic driven slowdown last year. As always, we will diligently analyze potential targets that could allow our organization to enter new geographies, new end markets, new products and develop new relationships with other potential blue-chip customers. Above all else, strategic value and valuation will remain top of our mind when we review these opportunities, and we look forward to pursuing intriguing deals in the months and years ahead.
 All in all, we are pleased with the progress we made during the first quarter, including addressing rapid cost changes, potential raw material and supply shortages and workforce availability challenges while investing in our future through process improvement, automation and technology. At the same time, we secured a new long-term contract with a strategic blue-chip customer in a new market and remain encouraged by the overall trends that we are seeing in virtually all of our end markets. As we move towards the middle of the year, we remain laser-focused on execution, delivering industry-leading customer service and are fully committed to building upon our market-leading position in the coming months.
 I'd now like to turn the call to Todd to discuss our financial results and our 2021 outlook. 
Todd Butz: Thanks, Bob. I'll begin with a look at our first quarter financial performance before providing commentary on our balance sheet, liquidity and our thoughts on guidance. As we noted in our press release, we recorded first quarter net sales of $112.6 million as compared to $108.6 million for the same prior year period. The approximate 4% increase was mainly driven by higher sales volumes due to stronger market conditions in 2021 versus the prior year operational shutdowns and issues related to the COVID-19 pandemic, which started in March of 2020.
 Manufacturing margins were $14.8 million for the first quarter of 2021 as compared to $11.8 million for the same prior year period, an increase of approximately 25%. The increase was driven by the aforementioned volume increases, utilization of investments in new technology and automation and the permanent reduction in the overhead costs following the closure of the Greenwood, South Carolina facility.
 The year-over-year improvement also relates to pandemic related issues in the last 2 weeks of the first quarter of 2020, which included customer plant shutdowns and initial COVID related inventory obsolescence and health care provisions.
 Manufacturing margin percentages were 13.1% for the first quarter of 2021 as compared to 10.9% for the first 3 months of 2020; an increase of 220 basis points. In line with higher sales volumes and permanent cost reductions associated with our cost optimization initiatives, incremental quarter-over-quarter manufacturing margins were 73.1%, which were well ahead of historical averages.
 Profit sharing bonus and deferred compensation expenses were $2.9 million for the first quarter of 2020 as compared to $1.3 million for the same prior year period. The increase was primarily driven by the return of standard discretionary employer 401(k) and bonus accruals as business activity returned to more normalized levels.
 Other selling, general and administrative expenses were $4.7 million for the first quarter of 2020 as compared to $5.6 million for the same prior year period. These expenses decreased $0.9 million due to lower public company costs due to process improvements, continued DMP integration synergies, lower travel and entertainment expenses due to pandemic restrictions and other cost-saving initiatives. Interest expense was $0.5 million for the first quarter of 2021, as compared to $0.8 million for the same prior year period. The modest decrease is due to lower borrowings, combined with lower interest rates.
 For the first quarter of 2021, income tax expense was $1 million on pretax income of $3.5 million. Our federal net operating loss carry forward was approximately $12 million as of quarter end, which was driven by pretax losses incurred in previous years. The NOL does not expire and will be used to offset future pretax earnings. We continue to anticipate our long-term effective tax rate to be approximately 26% based on current tax regulations.
 Adjusted EBITDA was $13 million for the first quarter of 2021 as compared to $11.4 million for the same prior year period. Adjusted EBITDA margin percent increased by 110 basis points to 11.6% in the quarter as compared to 10.5% for the same prior year period and represents an incremental margin of 39.6% as compared to historical average of 22.5%.
 Now let me address our capital expenditures, balance sheet and liquidity figures. Capital expenditures were $5.6 million for the first 3 months of 2021 as compared to $2.4 million for the same prior year period. The increase, which was in line with our 2021 budget, was driven by our continued investment in new technology and automation.
 Furthermore, as we noted in our recent press release, the addition of our new strategic customer and associated production ramp-up will require an additional $35 million to $45 million of capital investment. Thereby increasing our full year capital expenditure expectations to be in the range of $55 million to $65 million. While our historical return on investment for new technology and automation has been very strong, I am pleased to mention that the return on investment for our new strategic customer is similar in nature and had a little less than a 3-year payback with similar financial characteristics to our base business.
 In addition to the capital spending, we do expect to incur between $3.5 million and $5 million of onetime launch costs this year that will negatively impact our financial performance. In order to accommodate the increased capital spending this year, we entered into a third amendment to the amended and restated credit agreement on March 31, 2021, whereby the company is allowed to incur up to $70 million of capital expenditures during fiscal year 2021 as opposed to $35 million. The debt capacity maturity date of the credit facility were unaffected by this amendment.
 Throughout the past year, and in spite of the pandemic related challenges, we have made great strides in fortifying our balance sheet by opportunistically paying down debt at the most logical times, and I'm very pleased with our financial position today. As of the end of the first quarter of 2021, total outstanding debt, which includes bank debt and capital lease obligations, was $49 million as compared to $90.9 million at the end of the first quarter of 2020. The nearly $42 million debt reduction resulted in our leverage ratio dropping to 1.4x based upon a trailing adjusted EBITDA of only $34.4 million, which is much lower than the 1.8x for the first quarter of 2020 and significantly lower than our covenant threshold of 4x.
 Now I'd like to turn to guidance. With the overall economic outlook becoming clearer and some of our customers now providing more forward-looking information, we have decided to provide quantitative guidance for 2021. Based on our recent performance, the overall economic climate and the broader industry and market trends, we expect net sales to be between $450 million to $470 million and adjusted EBITDA to be between $46 million and $52 million, which includes the impact of the $3.50 million to $5 million of onetime launch costs related to our new market expansion.
 While we are encouraged with what we are seeing in the broader economic environment, I would just like to reiterate that our outlook is based on our end markets remaining stable, continued material availability and that business activity as a whole continues to trend positively. As we move into the middle of the year, we remain laser-focused on both delivering improved full year financial performance and working hard on our new growth initiatives.
 With that said, I will turn the call back over to Bob for closing remarks. 
Robert Kamphuis: Thank you, Todd. As I stated in my opening remarks, we're in a strong market position today, especially compared to where we stood a year ago. A lot of business improvements, coupled with a determination to succeed have been accomplished during the past year, and I want to take this opportunity to express my gratitude to all of our employee shareholders, including my management team and Board of Directors. Thanks to everyone's efforts, MEC is in a much better position today than we were when we first entered the pandemic in March of 2020.
 It's important to remember, however, that lingering pandemic coupled with supply chain costs and component shortage related headwinds are likely to impact the overall economy for the rest of 2021. Despite these changes and challenges, we remain confident in our team's ability and adaptability to navigate through the headwinds and deliver the financial results in line with the outlook we provided today, including the launch of the new project. This is an exciting time for our company with our current business in a great position to continue to improve and generate strong cash flow, plus the potential for additional growth avenues that are opening up ahead of us. Clearly, there are further important tasks to accomplish, but this team is prepared and focused, and I look forward to sharing more updates with you in the future and in the quarters ahead.
 With this said, I'd like to open up the call for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from Mig Dobre with R.W. Baird. 
Joseph Grabowski: It's Joe Grabowski on for Mig this morning. I have several questions related to the new fitness customer. So I'll just kind of start there. And I guess the first one is the $3.5 million to $5.1 million of launch expenses, how are those expected to fall per quarter? 
Robert Kamphuis: Obviously, as this process matures and gains strength, likely modest in the second quarter and growing to the largest piece in the fourth quarter. 
Joseph Grabowski: Okay. Great. That's helpful. And then the separate announcement you put out yesterday, talking about several potential facilities. Am I to assume you're basically looking at existing sites that aren't being used currently that you can move into? Is that the plan? 
Robert Kamphuis: It would be sites that are available. And some of them may be newer, some of them may be previously used, but they all will be available in the time frame that we're looking for. 
Joseph Grabowski: Okay. So we're not talking about greenfield construction again, we're kind of talking about existing facilities? 
Robert Kamphuis: Well, maybe a newer facility that is a greenfield, but it's in process already, and will be available when we want it. 
Joseph Grabowski: Got it. Okay. And then, I mean, I guess, just conceptually, a piece of fitness equipment isn't as large as a [ truck ] piece of construction equipment, for example. It seems -- I don't know, it just seems to me that a 250,000 square foot facility for components to go into fitness equipment. I mean it seems large. Are you kind of factoring in additional expansion for that facility? Or will that 250,000 square feet basically satisfy the current demand of the contract? 
Robert Kamphuis: Basically sized to the contract. Remember, we also have a lot of automation in this factory. So a very good leverage of the employment base that will need to operate it. So 250,000 will get you a pretty good revenue level. 
Joseph Grabowski: Yes. Okay. And then you talked about a shallow employee base right now, it's hard to attract new employees. Are you pretty confident you'll be able to get the factory staffed when you need it to be? 
Robert Kamphuis: Yes. That's -- that was a key attribute we're looking to when we were doing our site planning, and we looked at numerous states and this location gave us the best opportunity for that as well as a few other things relating to costs and energy, et cetera 
Joseph Grabowski: Great. Okay. Final question. Assuming that your core end markets continue to progress the way they are right now and then with these incremental sales, 2022 sales are likely to be at least back to 2019 levels, if not above. So will this new contract, will this new product, be supportive of your 15% EBITDA margin goal? 
Robert Kamphuis: Most definitely. 
Operator: Our next question comes from Andy Kaplowitz with Citi. 
Piyush Avasthy: This is Piyush on behalf of Andy Kaplowitz. Can you give some additional color on your end markets based on your guidance, while things are not at the pre-pandemic levels, trends seem mostly positive? Can you provide some commentary on what you would consider as recovered versus what you think is still not recovered as we think about the remainder of the year? 
Robert Kamphuis: Sure. Ryan, you want to take that question? 
Ryan Raber: Yes. I think certainly, since the third quarter of last year, we've seen the majority of our end markets have a pretty positive trajectory. If you take commercial truck, for example, 2019 was certainly forecasted at higher levels than we are today, but we expect the upward trend to continue. And as we look into the years ahead, 2022, 2023, the goal is to obviously eclipse where we were in 2019.
 So the setup is good. As Bob noted in his comments, we see certainly strength in commercial vehicle and the construction and access end markets. The fundamentals in ag remains strong. Coming into the year, we weren't sure how long power sports would remain at elevated retail levels and the restocking needed, and we think that has only gotten stronger. Since the last time we had spoken and our military market has remained pretty stable. So we continue to see positive signs pretty much everywhere across the business. And obviously, the new customer that we're adding will add a new market into the mix that we also are very optimistic about. 
Piyush Avasthy: Got it. Good to hear that. And can you touch upon your M&A strategy given the new credit agreement? Do you think M&A gets pushed out a little as you focus on the new customer and facility? And you basically touched upon this on your -- in your prepared remarks, but maybe elaborate on the M&A pipeline that is out there, given how the economy is shaping up, what end markets are you guys focusing on from an M&A perspective? 
Robert Kamphuis: Yes. Well, I guess I'll just say this, we'll be sticking to our investment strategy of new customers, new markets, new geographies, product line expansion, product line extension. Those are our base criteria, and it appears that, that funnel is filling very quickly. We obviously want to make sure that things are perfect, and we're spreading out the workload a little bit regarding the launch of the new project as well as M&A, but M&A projects come to you when they want to, not necessarily when you want them to.
 Our balance sheet is prepared to take it on. Our team is prepared to take it on. We've tried to keep a few capacities that we can pull on either internally or externally to assist us where needed. So we'll take it as it comes. And -- but we still will put that heavy scrutiny on the strategic part and the valuation of that. 
Operator: Our next question comes from Larry de Maria with William Bar. 
Lawrence De Maria: The first question, I just wanted to understand. Sales were up close to 4%. Most of the OEMs are putting up solid double-digit sales increases. So I'm just kind of curious, what's the disconnect between the sales -- OEMs putting up 10%, 20%, 30%, 40% increases in the first quarter and then your guys increase? And then can you also discuss the ability to price? Because I think it's -- obviously, it's a mechanism pass-through mechanism, so it shouldn't be a problem with pricing, but can you just kind of help me with those 2 things? 
Robert Kamphuis: I think -- I'm going to ask Ryan to kind of review it a little bit by market. But there are some details there that I think would lead you to our results. And some of them, depending on where that customer was in the first quarter last year, it might look like a big jump forward to them. But compared to our revenues. I think everything is lined up. We have not lost any wallet share, if anything, we're gaining wallet share. So I guess, Ryan, do you have a… 
Ryan Raber: Yes, I guess we're tied in closely to their build rates, Larry. So obviously, as they're building trucks, tractors, combines, whatever that may be, we're flowing through the same way. There could be changes in inventory that take place both on our side or even in their end markets with how they're thinking progression throughout the year. But as Bob noted, there hasn't been any wallet share loss, and we continue to support the customers and meet the needs of the line rates of their business.
 In terms of pricing, we obviously are looking at all the input costs, the cost of steel has accelerated and went up over the past couple of quarters. We do have agreements with customers that match the price to cost, but at times, those are lagging just in the mechanisms and how those are implemented. But we do expect, over time, that, that reaches parity points and won't impact the business over the long term. 
Lawrence De Maria: Okay. That's good. And I know you're talking about on your guide to the production plans. But I talked about the first quarter, with sales up 3%, 4%. What was down to offset, I mean, Caterpillar comment, [ CNH ] this morning, they all put up big sales increases. So I just don't understand why you guys were up the 3% to 4%, something must have offset it. 
Ryan Raber: I'm sure a portion was in our first quarter of last year, when COVID and the pandemic set in, we had multiple weeks of just customer shutdowns where zero shipments were taking place. Obviously, that impacted year-over-year. And then as we look into this year, all I can really say, Larry, is we've seen the growth in line rates and build rates that they've had were aligned well, and there's probably some equation on how they're recognizing their build rates into what their retail volume is, but we've seen the growth. We don't have any major markets that are really down year-over-year. Everything we've seen has shown signs of strength. And as we think about it sequentially, really going back through the third quarter, we're matched up really well to what the customers are telling us. 
Lawrence De Maria: And then a second question regarding the new customer. If -- correct me if I'm wrong, I've been on a bunch of calls this morning, but you're going to spend up to $45 million on the ramp. And therefore -- and you expect a 3-year payback, so something like $15 million a year, $45 million over the next 3 years, you're going to get back. Number one, is there a ramp to that? And is that right? That's what we should expect? And then sales would be obviously be in the $100 million plus per year with the new customer? And secondly, what's the risk with this customer? If they fail or something happens, are you on the hook for this? Or are they sharing the risk with you? Can you just help us understand that? 
Robert Kamphuis: I think a couple of points there, in our calculation of investment, it would be that CapEx plus the learning curve. So you would add in the $3.50 million to $5 million, and our -- we of looking at it. So the return less than 3 years, your math is correct.
 And with regard to your other question regarding the risk associated with it, it's a risk shared contract that gives us and them protection that they need and we need. 
Lawrence De Maria: Okay. Very good. Should we be modeling this linear or a ramp over the next few years? 
Ryan Raber: Larry, this will really ramp up over the first couple of quarters of next year, so pretty quickly. And then by the time we hit really the back half of 2022, we would be running at an annualized rate that would continue into the years ahead. 
Operator: [Operator Instructions] Our next question comes from Steven Fisher with UBS. 
Steven Fisher: I apologize I got on the call a little bit late, so I'm not sure if you addressed this already. But in some prior quarters, you talked about the potential to have a 15% EBITDA margin when you get to the $500 million sales level. And so you're just shy of that with expected market growth rates. I wonder if that is within a line of sight over the next year or so on the top line? And if so, how confident are you in still being able to achieve that 15% margin level? 
Robert Kamphuis: Todd, do you want to answer that one? 
Todd Butz: Yes. This is Todd. Great question. And certainly, it's something we're watching very closely. And yes, we feel very confident once we get back to that pre-pandemic and down a level that the 15% EBITDA -- adjusted EBITDA margin expectation is achievable.
 In fact, when you look at this quarter, just a little bit -- 12%. But really, if you strip back and if you factor in some of the period costs a little bit with the material leg that Bob spoke to, that's kind of a short-term impact. And then you tack on about $10 million, $15 million worth of sales, and you get that absorption of fixed overhead, we're kind of there today already. So it's really hitting at sustained volume at that $500 million plus level that we will see the 15% EBITDA margin returns. 
Steven Fisher: Okay. So it sounds like that's something we could keep in mind for perhaps 2022? 
Robert Kamphuis: Definitely. 
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Bob Kamphuis, Chairman, President and CEO, for any closing remarks. 
Robert Kamphuis: Thank you for the question-and-answer session. I appreciate everyone's time today and your continued interest in MEC. We look forward to talking with you at upcoming conferences and road shows throughout this year. Have a great day, and glad to see everything going in the right direction. Thanks for your time today. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect